Operator: Good day, ladies and gentlemen, and welcome to the Agilysys 2026 Second Quarter Conference Call. As a reminder, today's conference may be recorded. I would now like to turn the conference over to Jessica Hennessy, Vice President of Operations and Investor Relations at Agilysys. You may begin.
Jessica Hennessy: Thank you, [ Carmen, ] and good afternoon, everybody. Thank you for joining the Agilysys 2026 Second Quarter Conference Call. We will get started in just a moment with management's comments. But before doing so, let me read the safe harbor language. Some statements made on today's call will be predictive and are intended to be made as forward-looking within the safe harbor protections of the U.S. Private Securities Litigation Reform Act of 1995, including statements regarding our financial guidance. Although the company believes that its forward-looking statements are based on reasonable assumptions, such statements are subject to risks and uncertainties that could cause results to differ materially. Important factors that could cause actual results to vary materially from these forward-looking statements include our ability to achieve the provided guidance levels, maintaining sales momentum, the ability -- the company's ability to convert the backlog into revenue and the risks set forth in the company's reports on Form 10-K and 10-Q and other reports filed with the Securities and Exchange Commission. As a reminder, any references to record financial and business levels during this call refer only to the time period after Agilysys made the transformation to an entirely hospitality-focused software solutions company in fiscal year 2014. With that, I'd now like to turn the call over to Mr. Ramesh Srinivasan, President and CEO of Agilysys. Ramesh, please go ahead.
Ramesh Srinivasan: Thank you, Jess. Good evening. Welcome to the fiscal 2026 Second Quarter Earnings Call. Joining Jess and me on the call today at our Alpharetta, Atlanta headquarters is Dave Wood, CFO. As has become customary in these updates, let me cover the details pertaining to sales and selling success first before switching to revenue, profitability, guidance increases and other business updates. We measure sales in annual contract value terms. We continue to exclude from our sales numbers, all aspects of the Marriott PMS project, including those pertaining to services sales. Fiscal 2026 second quarter was our best ever July to September period of sales and the second best of any quarter so far. The first half of this fiscal year was the best first half sales start to a fiscal year in our history. We can slice the sales numbers in various ways, but the long and short of the sales story is our current business momentum is excellent. All the years of diligent reengineering of the core products and the addition of 20-plus add-on software modules to create a comprehensive ecosystem of cloud-native, world-class hospitality-focused software solutions have created considerable competitive advantages for us in a hospitality technology environment that otherwise seems starved of genuine innovation and significant R&D investments. It's becoming easier for prospective customers to see the obvious pace of innovation benefits of working with one provider for as much of the required ecosystem as possible. When customers come up with an enhancement that involves changes to multiple software modules, they can clearly see who the only provider is who is capable of getting the required innovation done across all the pertinent modules in quick time. These advantages have been showing up in our sales numbers during recent quarters. In addition, the tailwinds of AI are helping us improve all areas of the business, especially the modernized software solutions, which are well positioned to take on the engineering of groundbreaking innovations that AI tools are now helping enable and increasing our competitive advantages at an even faster rate. Sales levels during the quarter were good across the various sales verticals, especially gaming casinos and international regions. Looking at sales levels during the first half of fiscal 2026, Q1 plus Q2 compared to the first half of last year, fiscal 2025. Overall global sales were up 17%, 1-7, were up 17%. But more importantly, subscription sales were up 59%. Foodservice management, FSM sales were up more than 2.5x. International sales were up 36%. Gaming casino sales were up 15%, 1-5, were up 15% despite last year being a big record sales year. Point-of-sale POS products, including add-on modules were up 23%. Property management systems, PMS products, including add-on modules, were up 34%. Inventory procurement for food and beverage products more than doubled. I will spare you recounting the entire list, suffice to say that our current business momentum is good, fueled by increasing sales success levels, which are, in turn, driven by growing product ecosystem superiority, which is sustainable and getting more pronounced and visible with every passing quarter. The modernized set of software solutions has now been in the field for anywhere from 1 to 3 years, and we continue to grow the number of reference customers who have good return on software purchase investment stories to tell. Considering that the total addressable market we serve is something like a couple of orders of magnitude bigger than our current size, we still have a long growth path ahead of us. As we continue to solve the challenge of today's Agilysys not being known well enough in large swaths of the hospitality market. International sales levels had another strong quarter during Q2, growing by more than 35% over the prior year. The ecosystem is resonating across global markets and customer needs for a unified solution set is driving more awareness and more global wins. One such win during Q2 was Rudding Park in Harrogate, England. This beautiful family-owned luxury resort, which I had a chance to visit recently located in Northern England, includes multiple golf courses and award-winning spa, upscale dining and event space. They selected as many as 21 Agilysys software solutions, including POS, PMS, service optimization, booking engine, sales and catering, golf and spa. Fiscal 2026 Q2 Foodservice management, FSM sales was twice as high as Q2 last fiscal year. The new modernized and unified POS platform is performing well in the field. And given we no longer need to mix old and new technologies and new implementations, they are becoming increasingly simpler to implement and manage, giving us strong credibility within the FSM vertical to execute on promises made. FSM sales results have not only been great during the first half of this fiscal year, but we are also seeing good momentum for continued good performance through the rest of the fiscal year. We are pleased to see FSM customers renewing and deepening their trust in our POS solutions again. The other sales verticals also generated strong results. Both gaming and hotel resorts and cruise ships, HRC verticals returned strong sales quarters. A few notable multiproduct new customer wins during the quarter within HRC included Naturally Pacific Resort on the Coast of Vancouver Island, Canada, who selected 15, 1-5, who selected 15 Agilysys products including PMS, POS, golf, reserve and spa to manage all their luxury amenity, guest experience options. And Waco Surf Waterpark and Hotel Resort, the largest inland surfing and sports facility located in Waco, Texas, who selected 13, 1-3, selected 13 Agilysys products, including PMS, POS, mobile ordering, membership and the recently introduced Guest App to increase operational efficiencies and provide exceptional guest experiences. During Q2 fiscal 2026, July to September, we added 18, 1-8. We added 18 new customers, excluding Book4Time, and all of them were subscription-based sales agreements. Each of these new customer sales wins included an average of 7 products per deal, which is a new high for us. PMS customers continue to invest in the multiproduct ecosystem with an average of 14, 1-4, with an average of 14 products per deal when PMS was part of the purchase suite. We also added 87 new properties, which did not have any of our products before, but the parent company was already our customer. Of the 114, that's 1-1-4. Of the 114 new properties added during the quarter across new customers, new properties of current parent customers and Book4Time, 108 were either partially or fully subscription-based. In addition, there were 93 instances of selling additional products to properties, which are already running at least one of our other products. These 93 instances involved a total of 241 new products sold at the rate of 2.6 products per new product sales agreement, which is the highest level we have seen so far. Now on to revenue. Fiscal 2026 Q2 revenue was a record $79.3 million, the 15th, 1-5, the 15th consecutive record revenue quarter, 16.1%, 1-6, 16.1% higher than the comparable prior year period. Overall, revenue during the first half of fiscal 2026 Q1 plus Q2 was $156 million, 18.4% that is 1-8, 18.4% higher than revenue during the first half of last fiscal year. Fiscal 2026 Q2 recurring revenue grew 23% year-over-year and 4.8% sequentially quarter-over-quarter to a record $51 million. This recurring revenue year-over-year increase was driven mainly by subscription revenue increase of 33.1%. This is now the seventh consecutive quarter of overall subscription growth of greater than 30, 3-0, greater than 30%. Subscription revenue now constitutes 65.5% of total recurring revenue compared to 60.5%, that is 6-0, 60.5% Q2 last year. Subscription revenue from POS and related add-on modules grew by 18%, that is 1-8, grew by 18% year-over-year and organic subscription revenue from PMS and related add-on modules grew by 55%. Fiscal 2026 Q2 was the best quarter on record with respect to the sum of annual recurring revenue, ARR of all subscription projects implemented during the quarter. The extent of subscription ARR installed during fiscal 2026 Q2 was 79% higher than the comparable period last year. And total subscription ARR installed during the first half of fiscal 2026, Q1 plus Q2 was 50%, 5-0, 50% higher than during the first half of last fiscal year. The increased velocity of project implementation has been a strong contributor to the acceleration of subscription revenue growth during fiscal 2026. Despite the current overwhelming customer preference for cloud SaaS installations, annual maintenance pertaining to perpetual on-premises software licenses was once again a record this quarter, 7.5% higher year-over-year. Our current subscription revenue growth levels are coming for the most part from new incremental projects and are not dependent on cannibalization of annual maintenance installations. Virtually all the modernized software solutions and recent product versions are designed to be cloud native, but can also work equally effectively in on-premises installations if that happens to be the customer preference. The fact that we allow hospitality customers, several of whom need to keep their critical business software applications on-premises for good reasons, the fact we are offering the required flexibility and allowing them to control the timing of their move to the cloud without sacrificing the benefits of ongoing innovation is a competitive advantage for us. Fiscal 2026 Q2 product revenue was $10.1 million, right in line with our expectation of product revenue levels on a quarterly basis for the rest of the year. Product backlog at the end of Q2 improved substantially during the quarter, ending up 49% higher than at the end of Q1 and 74% of previous record levels, thereby giving us better visibility for the rest of the fiscal year than we have had in quite a while. We expect product revenue levels to remain around current levels. Fiscal 2026 Q2 July to September services revenue was a record $18.2 million, that is 1-8, $18.2 million, 12% higher than the comparable prior year quarter. We continue to make good progress in our efforts to find ways to reduce customer implementation delays. Services revenue backlog reduced by 10% between the end of Q1, which was a record and end of Q2. This reduction is welcome as services revenue is now driven increasingly by project implementations with customer paid product development work becoming less of a contributor compared to recent previous quarters. Given the strong sales momentum during the first half of fiscal 2026, our expectations for full fiscal year 2026 have increased. We started the fiscal year with a full year revenue range expectation of $308 million to $312 million and subscription revenue growth of 25%, which was then increased to 27% last quarter. We now expect the full year revenue range to be $315 million to $318 million, that's 3-1-5 to 3-1-8, $315 million to $318 million and full year subscription revenue growth to be 29%. No change in the 20% adjusted EBITDA by revenue expectation. One other highlight is the increasingly positive impact AI is having on our business and competitive positioning. To begin with, virtually all our software licensing is based on number of rooms for PMS and related add-on modules, number of terminal endpoints for POS and number of sites or locations or profit centers within sites for inventory procurement for food and beverage products and certain other add-on modules. Virtually all our license structures are not based on number of users. As customers increase their operational efficiencies using AI tools and reducing user counts, that does not affect our software licensing fees. On the other hand, such customer internal efficiency improvements tend to free up more technology investment room and increase the need for modernized software solutions. Our product ecosystem software solutions have been created through tacit domain knowledge gathered and developed over decades of field work in hospitality, working closely and learning from thousands of customers and tens of thousands of product implementations. The current ecosystem of complex software solutions include in them a vast amount of customer requirement nuances and complications, which cannot be generalized by any automation tool. Product development efficiencies can definitely be greatly improved through the use of UI, through the use of AI and we are seeing with our own teams now. But domain expertise and complex decision-making of what and how to build the complex pieces of each software solution and then stitching them into a complex ecosystem, enabling customers to buy 7, 8, 10, 12 such modules together presents a formidable barrier to both entry and more crucially to reaching a stage of excellence. About 18 months ago, we launched our GetSense.ai umbrella technology brand to group the AI initiatives in the Agilysys ecosystem of products. Since then, we have launched several features that are powered by AI, including a dynamic pricing engine for room upgrades, unique revenue management capabilities based on demand across spa, golf, dining and other activities and invoice automation and inventory procurement for food and beverage products. For AI to function well in a hotel and hospitality context, it requires data. Using the ecosystem we have built over the past several years, we have now created an intelligent guest profile module that captures and surfaces consolidated guest data across all resort touch points, helping us deliver unique AI-enabled features, making personalization at scale possible across the entire guest experience, not just at 1 or 2 touch points, but across the entire guest experience. There are good reasons today why each of our successful sales efforts, which include PMS are adding up to 14, 1-4, 14 products for win. We are currently actively working on delivering several additional AI-driven capabilities in the upcoming product version releases. AI tools working in conjunction with the already modernized solutions are currently helping us increase the competitive advantage gap, apart from increasing product development and other efficiencies across various operational areas, including faster automated product implementations and easier and quicker identification of cybersecurity threats. Overall, we love the tailwinds AI is currently providing us to get better and improve the pace of innovation. We have conviction that AI is making our products and overall business better rapidly. We are realistic and pragmatic about managing it well and are optimistic about AI's potential to increase our current competitive advantage distance. One other quick note before handing the call over to Dave. The Marriott PMS project continues to make good progress and is proceeding according to plan. We are currently in the midst of beta implementations. With that, Dave?
Dave Wood: Thank you, Ramesh. Taking a look at our financial results, beginning with the income statement. Second quarter fiscal 2026 revenue was a quarterly record of $79.3 million, a 16.1% increase from total net revenue of $68.3 million in the comparable prior year period. Onetime revenue consisting of products and professional services was up 5.6% over the prior year quarter and in line with our expected 5% to 10% increase in onetime revenue. Recurring revenue was up 23% on the back of good subscription revenue growth. FY '26 year-to-date revenue is currently at $156 million, up 18.4% over the prior year-to-date and currently at a higher level than the assumptions our original full year guidance of $308 million to $312 million was based on. Sales momentum remained robust during Q2, leaving total backlog at record levels despite the strong project implementation and revenue start to the year. Subscription sales exceeded plan for the second consecutive quarter. Subscription bookings were up 41% over the prior fiscal year second quarter and continue to trend ahead of our original subscription guidance. FY '26 year-to-date subscription bookings are up 59% over the prior year. Despite the strength of subscription revenue through the first half of the fiscal year, subscription backlog remains at record levels and 26% higher than the same time last year. With the current product backlog strength and sales momentum, it's safe to say the visibility into our business in fiscal year is significantly better than at this time in the prior fiscal year. Professional services revenue increased 11.8% over the prior year quarter to a record $18.2 million. Professional services revenue remains a good leading indicator for the future subscription revenue growth. In the upcoming fiscal third quarter, we expect professional services revenue to drop slightly sequentially due to less billable hours around the holiday season. Total recurring revenue represented 64.3% of total net revenue for the fiscal second quarter compared to 60.7% of total net revenue in the second quarter of fiscal 2025. Subscription revenue grew 33.1% for the second quarter of fiscal 2026. Subscription sales and backlog were again both at record levels in Q2. Although subscription revenue exceeded our revised guidance of 27%, the backlog continued to grow, rising by 30% over FY '25 exit rates. We continue to be pleased with subscription sales and revenue growth levels. Moving down the income statement. Gross profit was $49 million compared to $43.2 million in the second quarter of fiscal 2025. Gross profit margin was 61.7% compared to 63.3% in the second quarter of fiscal 2025. Gross margin was down slightly due to margins associated with onetime revenue while we continue to ramp up the newly hired professional services team members and continue to see a downward trend in on-premise perpetual license revenue. Combined, the 3 main operating expense line items, product development, sales and marketing and general and administrative expenses, excluding stock-based compensation, were 41.3% of revenue in the fiscal 2026 second quarter compared to 45.6% of revenue in the prior year quarter. Excluding stock-based compensation for the second quarter of fiscal 2026, product development decreased slightly to 18.8% compared to 20.4% of revenue in the prior fiscal year second quarter. General and administrative expenses reduced for the quarter year-over-year from 12.7% to 10.8% of revenue and sales and marketing decreased from 12.5% to 11.7% of revenue. Operating income for the second quarter of $14.1 million, net income of $11.7 million and gain per diluted share of $0.41 were higher than the prior year's second quarter income of $4.1 million, $1.4 million and gain of $0.05. Adjusted net income, normalizing for certain noncash and nonrecurring charges of $11.4 million compares favorably to adjusted net income of $9.5 million in the prior year second quarter and adjusted diluted earnings per share of $0.40 increased compared to the prior year quarter of $0.34. For the 2026 second quarter, adjusted EBITDA was $16.4 million compared to $12.2 million in the year ago quarter. FY '26 adjusted EBITDA continues to pace with our original annual guidance of 20% of revenue. Moving to the balance sheet and cash flow statement. Cash and marketable securities as of September 30, 2025, was $59.3 million compared to $73 million on March 31, 2025. As a reminder, the first half of the year cash balance is typically lower due to timing of working capital events in the first half of the year. In addition to working capital adjustments, we paid down our credit revolver by $24 million in the first half of the fiscal year, leaving us debt-free now. Free cash flow in the quarter was $15 million compared to $5.9 million in the prior year quarter. As we have said in the past, adjusted EBITDA and free cash flow over a full fiscal year after normalizing the impact of CapEx continue to be good proxies for financial health of the business. For our fiscal year 2026, we are raising guidance for subscription revenue growth again from 27% to 29% based on our current backlog and sales momentum. This quarter, we are also raising our top line revenue guidance range from $308 million to $312 million to $315 million to $318 million. As a reminder, we expect professional services revenue to decrease by more than 5% sequentially in Q3 due to less billable days available around the holidays before returning to normal levels in Q4. Adjusted EBITDA of 20% remains the same for the fiscal year 2026 as we continue to evaluate various strategic growth initiatives. In closing, we are extremely pleased how our business has worked out during the first half of fiscal 2026 and how it's shaping up for the remainder of the year. With that, I will now turn the call back over to Ramesh.
Ramesh Srinivasan: Thank you, Dave. In summary, we are pleased with the fiscal 2026 Q2 July to September results. Our overall current sales and business momentum, the continuing surge in subscription software sales and the pace of project installations, it is tough not to feel bullish about our business. Compared to the same Q2 July to September quarter 4 years ago, the overall revenue has more than doubled, subscription revenue has tripled and services revenue has grown 170%. That's 1-7-0. We continue to make great progress with our modernized solution ecosystem. Increased use of AI tools is helping us build sustainable and growing competitive advantages. Our barrier to excellence in hospitality-focused technology is increasing. We have done well with retaining top talent over the past several years and continue to add more, including those focused entirely on improvements and advancements using AI. Compared to the same time last year, the number of quota-carrying sales personnel is 16%, 1-6, 16% higher now, and the global professional services team size is 23% bigger. We have recently added senior personnel strength to our global marketing teams. We continue to do extremely well with customer retention and growing revenue across both current and new customers. We continue to be strong believers in sustained, disciplined profitable growth. Major -- more major hospitality corporations are taking greater notice of us, and we are now engaged in meaningful conversations with more of them. We continue to maintain and improve on a clean balance sheet. We operate in a total addressable market that is a couple of orders of magnitude larger than us. And we continue to keep our focus undistracted and passionately on hospitality, an industry that is hungry for more technology innovation help. All that does sound like a good recipe for medium- and long-term defendable, sustained good business growth. With that, [ Carmen, ] can we please open up the call for questions?
Operator: [Operator Instructions] All right, while our first question is from Mayank Tandon with Needham.
Mayank Tandon: Congrats, Ramesh, Dave and Jess, on the quarter. Ramesh, I wanted to just ask about what's really changed given the record sales momentum. Would you say it's more a function of the market waking up to the adoption of cloud-based solutions that maybe they were slow to embrace? Or is it more a function of Agilysys being now maybe better known in the market with all the product innovation that you've completed. So if you could just maybe speak to -- it could be both, but I'm just curious what would you weigh more towards in terms of what's changing and what's driving the record sales momentum?
Ramesh Srinivasan: Mayank, when sales and business momentum improve like this, there's always a number of reasons. But I would say that the main reason why things are truly moving forward for us is because the product ecosystem is getting better. The product ecosystem is cloud native. And we went through a period of 6, 7 years when we had to go -- do the hard yards, reengineering and converting all our products into modernized solutions and also unifying them, integrating them into one ecosystem. That took us a lot of work over 6, 7 years. And now that all that is done, those products are improving at a rapid rate. And there is not much other innovation going on in this industry now. So the competitive advantages are also increasing. In addition to all that, we've also added significant sales and other staff, senior resources like Joe Youssef, who have joined us are opening up a lot of major doors for us. So a lot of factors are working together, mostly driven by our product improvements and the higher level of senior talent who have joined us.
Mayank Tandon: Got it. That's helpful color. Then maybe I'll switch over to margins. And this is more of a longer-term question. I'm just curious, as the Marriott rollout does go live over time, do you expect a step back in margins? Do you have investments to make to ensure the go-live is on schedule and goes on plan? Or do you believe that as the rollout starts, it will be margin accretive to your business?
Dave Wood: Mayank, yes, for the most part, we think it will be margin accretive to the business, especially if you look over a couple of quarters or maybe an annual basis. There certainly could be a quarter where maybe we have a little bit of investment prior to the rollout. But I think we're talking about a quarter here or there. But certainly, as you look over 2 or 3 quarters combined, we have most of the people on staff and most of the revenue contribution going forward will be subscription revenue, which is at a higher margin. So, Mayank, both this major project and all the other major projects that we are continuing to sign are all going to contribute towards increasing growth and increasing margin.
Operator: Our next question comes from the line of Matt VanVliet with Cantor.
Matthew VanVliet: I guess I wanted to dig in a little bit on the international strength that you continue to see. I know you've made a lot of investments, both on the go-to-market team in those regions as well as kind of the global marketing organization. But curious if you could give us a little bit more detail in terms of performance in Europe and EMEA versus APAC and then maybe any rest of world contributions there? And do you feel like you're in some of those markets starting to get some of the halo effect of winning this Marriott deal? Or does that maybe come later once it's started to deploy and you've sort of proven the success there?
Ramesh Srinivasan: If you ask me, Matt, it's more about product improvements than any particular halo effect from any particular project. Though as we continue to win more of these major customers who are global customers who have massive international presence, that will further add to our improving international performance. This year, so far, EMEA is working at record levels. We've really made good progress, especially in the U.K. and in other countries nearby as well. APAC, we are now working through more big opportunities than we ever have. But all those opportunities still continue to be the bigger ones. We want to get better at more the singles and doubles in APAC, especially. But we are generally pleased so far with how our international presence is picking up. We are involved in more conversations and a lot of it has to do with the product improvements. A lot of it has to do with the need for an integrated ecosystem. And as we continue winning these bigger customers, Matt, like Marriott and hopefully more customers like that, I think that will continue to improve for us. So international, we are very, very bullish on that being a major growth engine for us going forward.
Matthew VanVliet: Okay. Helpful. And then it sounded like the investments in capacity around the delivery team are starting to actually kind of work through more backlog than you can book each quarter. Obviously, it's kind of a fine balance. It's great to have the strong bookings, but at a certain point, you need to get it delivered to your customers. So where do we stand in terms of capacity today? Have you primarily made the headcount and process investments to make sure that you can continue to sort of burn through the backlog just as quickly or maybe slightly more quickly than you're able to book? Or should we think about maybe a couple of other sort of bigger rounds of headcount additions over the next few quarters that kind of will create some ups and downs in the margin structure?
Ramesh Srinivasan: The capacity improvements that we needed in services, we have completed this calendar year. It was done more before April. So the bulk capacity increases we needed to make in our services team, we did complete them around the April, May time frame. So -- and we'll continue to expand it. Like sales, services teams and our other teams, we'll continue to expand as we are the growing company. But in terms of giving ourselves the capacity to make sure there are no delays in projects, we have completed that. We do continue to face delays here and there because of customer delays, because delays on the customer end, and there is only so much we can help that because these are all big product ecosystem kind of implementations and customers have to be sure that they are ready for it. So to answer your question, Matt, as far as we are concerned, we do have the capacity now in terms of services to take on what we are selling and continue improving on it. So we do have that capacity. That doesn't mean we stop growing, but we don't need to bulk grow anymore. We will steadily continue improving those teams, but that is not an issue. We are doing a good job of catching up with our backlog, but we have to do more to get past the customer delays, which there is only so much we can do to help.
Operator: Our next question is from Brian Schwartz with Oppenheimer.
Brian Schwartz: Ramesh, following up on the last question on the growth that company is experiencing in the sales and service capacity this year. My question is on where you are on the efficiency curve of this initiative. I know it's early, but are you seeing returns that you thought you would have expected at this point of the initiative? And are you expecting bigger efficiency gains to come in the second half of this fiscal year or more likely next fiscal year? And then I have a follow-up for Dave.
Ramesh Srinivasan: Yes. So we are seeing efficiency improvements, Brian, all across the organization, partially due to AI and partially due to other reasons as well. So let me just break up the question into the various pieces. As far as services is concerned, we are seeing continuous efficiency improvements due to multiple reasons. One, the significant increase in personnel strength that we had at the beginning of the calendar year or let's call it, the first half of the calendar year, the training and the personnel getting more familiar with our products and becoming better with it has exponentially increased in the last 3, 4 months. So that is there. In addition to that, the products are also becoming easier to install, Brian. Remember, we went through a massive amount of modernization of the products. Our products have been in the field for 1 to 3 years now, and they are becoming easier and easier to implement. And then you add the fact that you use AI tools to automate a lot of the implementations. A lot of the complex configuration setups of the products can now be automated using AI tools. So all of that is contributing to greater services efficiencies. People are getting better. The products are far easier to implement. There are tools available in technology, AI otherwise to speed up implementation. So all that is improving the efficiency of product implementations. Now sales, even now 75% or so of our sales comes from the top half of our sales team. So improvement in sales productivity, we still have a runway ahead of us. We increased our hotel resorts sales team, our international sales team during the beginning of the year, and they have all built a pipeline, and so those efficiencies are getting better as we go. And product development efficiencies have really become much better, thanks to AI tools and a whole lot of other reasons. So product development efficiency have improved. But it's a continuous game, Brian. There is no end game to this. Efficiencies have improved a lot this year, and I think it will improve massively next year as well. It may not directly show up in P&L because we still need the resources, but we are getting a lot more done with the current resources we have.
Brian Schwartz: And the follow-up I have for Dave. I just wanted to ask you about seasonality from the summer period in the quarter. We're seeing these outstanding sales results, just wanted to check with you, did the business experience less seasonality this fiscal 2Q than it did last year? I remember last year, you called it out during fiscal 2Q.
Dave Wood: Yes, I mean I really think there's a couple of things going on in that question. And some of it will be kind of reiterate what Ramesh said. When you look at this year compared to last year, there's kind of 3 differences in where we sit. I mean one, we have more sales capacity. We're still in the middle of that kind of ramp of our sales team, but we have a lot more quota-carrying sales reps on the team, which are helping with that. The second is our backlog just remaining at record levels. Like when we think about backlog, we don't think of it in terms of weeks, we think of it in terms of months. So having a backlog and then really touching on what Ramesh said, I mean, just the capacity to deploy that backlog, specifically with our professional services team just makes the year and the visibility a lot better than it was this time last year.
Operator: One moment for our next question, and it comes from the line of George Sutton with Craig-Hallum Capital Group.
George Sutton: Ramesh, you mentioned that more major hospitality players are looking at you. And I'm curious if that is, that would include there was a trend here in the last couple of years, some of the large players basically working with very thin code-based software vendors that don't really seem like long-term decisions. Are you starting to get the attention of some of those folks who made that kind of a decision?
Ramesh Srinivasan: Well, I think, George, you are going to pick up on that more than anyone else. Yes, George, the short answer for that is yes. There are -- we are getting the attention of larger players than, say, at the same time last year or 2 years ago, a lot of the credit has to go to the product and the news is spreading that the product ecosystem is becoming more and more that is the distance between us and the competition is increasing. And also a lot of the credit goes to Joe Youssef and some of the senior sales staff he's hired as well, who are opening up into -- some of the major doors for us, right? They have credibility. Joe and others have worked with these bigger customers for a long time. So those are opening up doors. And now it's a great time to open up doors for us because the products are impressive. And if they see a demo, it really gives them pause. So short answer, George, yes, more conversations these days than we have ever had before, and that is encouraging to us.
George Sutton: So Ramesh, you mentioned you have considerable competitive advantages, and I think you did a good job of walking through what some of those are. But at the same time, you mentioned you're still not well known in key circles in some of your markets. And I just wondered how much progress do you think you're making on that latter piece? Is it predominantly going to be through reference customers? Or how do you see that kind of closing that gap?
Ramesh Srinivasan: We continue to close that gap, George. It's not going to -- it's not a magic bullet. It is not going to suddenly explode into everybody knows us. Now it is not just a matter of knowing Agilysys, George, it's knowing today's Agilysys. There is still large parts of hospitality who still think of us as the father's or the grandfather's Agilysys. And that is not an easy challenge to get over in -- generally in enterprise software, but we are making good progress, right? We are making significant impressive progress. Marketing has done great work for us across the international regions and domestic regions. There's a lot more thought leadership participation. The trade shows, of course, we continue to increase participating, but we are leading a lot more participation in seminars. We are sponsoring a lot more of the bigger events. So we are doing everything we can. One thing is to market Agilysys, the other thing is to make sure today's Agilysys status is well known. That's not an easy challenge that can just overcome in a matter of days or weeks, but we are making good progress with that, George. It is very encouraging looking at the number of customers, especially the larger ones who are talking to us now.
George Sutton: I think the numbers are evidence of that. Congratulations.
Operator: Our next question is from Nehal Chokshi with Northland Capital Markets.
Nehal Chokshi: Congratulations on a great quarter, second best selling quarter, fantastic. Any customers as part of this ACV being second best selling quarter, represent more than 10% of that ACV?
Dave Wood: No, Nehal, no customers over 10%. It was broad-based. I think Ramesh did a good job of pointing out all the different verticals. Certainly, gaming, international, managed food service kind of led the way. So it was really a broad-based quarter, which was nice.
Nehal Chokshi: Okay. So kind of using the analogy that Ramesh had utilized in the past, getting attention from Sharks and Dolphins, that was not a part of the strong quarter then?
Ramesh Srinivasan: Yes, it was broad-based, Nehal. No, nobody came close to 10%, yes. My knowledge of what is it? Oceanography is quite limited. I would Sharks, Dolphins, all kinds of fish, yes, all kinds of wins this quarter, Nehal, yes.
Nehal Chokshi: No, well, we did so, right? All right. Given that the September quarter represented the second best selling quarter, which was the case last quarter, it sounds like it's safe to say that ACV sales were up Q-o-Q, which [ under a ] strong result. Can you give us a sense as to how much it was up Q-o-Q actually?
Ramesh Srinivasan: Yes. Normally, Nehal, we don't get into that, but a little bit of extra color since you asked the question. The last 3 quarters are our best 3 sales quarters in our history. And so obviously, the last 4 quarters have been great for us. So it is a good trend. And each of these quarters have been the best for that particular period quarter. So it continues to do well. And the last 3 being our best 3 ever sales quarters is a pretty good indication of our progress. So overall, positive, Nehal, but not going to go into the specifics of that.
Nehal Chokshi: Okay. I believe that you guys gave like sort of a midterm organic subscription revenue growth outlook in the past. Could you just reiterate what that is? And any incremental color with that?
Dave Wood: Yes. It was a little bit over 25% for the quarter and trending to 25% for the year. I don't know there's a whole bunch of additional color. I mean we're really happy, like we said, with where our backlog sits. We have a lot of subscription backlog. We have a lot of momentum in the sales team selling subscription solutions. The 18 new customers we had this quarter were -- all had subscription. So I think we were a little over 25% for the quarter, and we're trending to about 25% organic for the year.
Operator: And we have a question from the line of Stephen Sheldon with William Blair.
Stephen Sheldon: First on just the guidance. I think you made it pretty clear that the guidance increase, it sounds like it's mostly due to better broad-based sales activity. But just wanted to ask about did your assumptions on the Marriott rollout, did those change at all materially? And was that any notable portion of the guide increase? I mean I think it was kind of a midpoint. Total revenue was up 2%. I think the subscription revenue was also up 2%. So was that -- did Marriott play into that at all?
Dave Wood: Stephen, no, Marriott did not play into it at all. And just as a reminder, our -- the raise of guidance in subscription revenue from 27% to 29% excludes all Marriott subscription revenue. So for the PMS and -- so no, it didn't. The guidance raise was not Marriott related. It was just general sales momentum because as a reminder, too, all the sales numbers that Ramesh talked about exclude Marriott as well. So...
Ramesh Srinivasan: It excludes the Marriott PMS project. The other Marriott product -- we are selling products to Marriott is included, but not the PMS project you're referring to. Go ahead, Dave.
Dave Wood: Yes. No, it excluded Marriott PMS.
Stephen Sheldon: Got it. Okay. That's encouraging. And then just on the POS side, can you talk some more about the factors driving the strength you're seeing in the Managed Food Service vertical? How big that end market is as a mix of your total POS kind of subscription revenue? And do you generally see lower levels of competition in that space, just given more complex need from purchasers? I think in that end market, there would be only a few software providers that a customer would consider. I mean is that kind of a fair thought process on that end market? Just more context on what you're seeing there.
Ramesh Srinivasan: Yes, Stephen, let me address the first part of your question first. POS, like we told you before, like 1.5 years or so ago, we went through a tough transformation phase. We had completely reengineered the POS products. There are multiple parts to the POS products. So we had to do them in stages. So a lot of our implementations in the field became a mismatch of old and new technologies that caused a lot of technical challenges for us. So that's what affected POS sales, especially in the Food Service Management, FSM vertical. We have passed that stage for the last year or 1.5 years. All our new implementations are all the modernized solutions and also unified, meaning guest-facing and staff-facing feature sets are now in one system. Therefore, it's a lot easier for us to manage, a lot easier for us to implement, producing good results for the customers, including international customers. So the current new version of POS and all the new installs we've been doing, say, for the last 12 to 18 months are going very well. As you would expect a modernized unified solution to go well. So that, in turn, has helped improve POS sales, especially in the FSM vertical, which is practically for all practical purposes, only POS. So that's the reason. It's again product driven. And also some of the recent sales staff we have added to FSM are doing incredibly good work. They are very influential, and they are doing good work. So that is one part. I wouldn't say the competition is less, Stephen, in FSM. It is more from the smaller vendors. For a long time, FSM has been served more by the smaller technology vendors. You don't see the bigger ones there that much. So yes, there is competition in FSM as well, but our product sets are getting better and our implementations are getting better. We are selling with a lot more conviction and strength there. So overall, I think FSM will continue to do well for us.
Stephen Sheldon: Very helpful. And maybe just one more, if I can, on the PMS product attachment. I mean you've been seeing some customers sign up with very large packages with a lot of products attached. I guess can you just remind us which ones you're seeing the highest attach rates on new sales by product? And has anything overly surprised you on the types of add-on products that are being added on to some of these PMS contracts?
Ramesh Srinivasan: It's not surprising, Stephen. When we created this ecosystem around POS and PMS, we knew that the attach rates for PMS are going to be higher because there are just more add-on modules there compared to the POS number of add-on modules. So this is not surprising to us. Very often, customers come to us only looking for a core product or a couple of products, but they see the ecosystem working together. And it really is encouraging for them that they don't need to deal with disparate systems. That are difficult to integrate and not just difficult to integrate, the pace of innovation is very slow because a lot of what resorts and hotel properties need now is a unified guest experience. And for that, if you come up with an innovation idea like, let's say, use of a wrist band in a water park, you have to change 4 different systems for it. And if you're dealing with 4 different vendors, it becomes impossible to innovate at a rapid pace. So the pace of innovation is there. So we are not surprised that PMS has high add-on modules attached right now. But we are also participating in some major deals where PMS itself, the core product itself is the primary player and those customers are not yet considering the other products. So we are seeing a couple of them as well. In terms of which products are most golf, spa, sales and catering products like that come to mind. The booking engine is always one of the leading products. But one of the best sellers for us this year is loyalty promotions. Now resorts have the ability to give guests points and help them redeem points at every touch point in a resort. That's a big strength they didn't have before. So it varies from deal to deal, but these are some of the more popular ones.
Stephen Sheldon: Very helpful. Appreciate the color, and great results.
Operator: Thank you so much. And this concludes our Q&A session for today. And I will pass it back to our CEO, Ramesh Srinivasan, for closing remarks.
Ramesh Srinivasan: Thank you. Thank you for your participation and interest in Agilysys. Please enjoy the holiday season. Merry Christmas and happy holidays to all of you. We look forward to talking to you again in about 3 months from now. Thank you.
Operator: And thank you again for all who participated in today's conference. You may now disconnect. Everyone, have a great day.